Operator: Good evening, ladies and gentlemen. Thank you for standing by. Welcome to the StoneCo Third Quarter 2023 Earnings Conference Call. By now, everyone should have access to our earnings release. The Company also posted a presentation to go along with its call. All material can be found online at investors.stone.co. Throughout this conference call, the Company will be presenting non-IFRS financial information, including adjusted net income and adjusted net cash. These are important financial measures for the Company but are not financial measures as defined by IFRS. Reconciliations of the Company's non-IFRS financial information to the IFRS financial information appear in today's press release. Finally, before we begin our formal remarks, I would like to remind everyone that today's discussion might include forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from the Company's expectations. In addition, many of the risks regarding the business are disclosed in the Company's Form 20-F filed with the Securities and Exchange Commission, which is available at www.sec.gov. I would now like to turn the conference over to your host, Roberta Noronha, Head of Investor Relations at StoneCo. Please proceed.
Roberta Noronha: Thank you, operator, and good evening, everyone. Joining me today on the call is our CEO, Pedro Zinner, our Chief Financial and Investor Relations Officer, Mateus Scherer, and our Chief Strategy and Marketing Officer, Lia Matos. Today, we will present our third quarter 2023 results, discuss some recent trends and provide an updated outlook for our business. I will now pass it over to Pedro so he can share some highlights of our performance. Pedro?
Pedro Zinner: Thank you, Roberta, and good evening, everyone. Overall, I was very pleased with the results delivered and the improvement we made within the organization. As I did in the previous quarters, I want to begin by making a brief evaluation of our performance related to the priorities set for the quarter. In our first priority, to grow with efficiency, we once again had very positive results. Total revenue increased 25% year-over-year to reach R$3.1 billion, exceeding our guidance by 2%. Combined with top line improvement, adjusted EBT increased 3.3 times year-over-year, reaching R$545 million and surpassing our guidance by 16%. As a result, adjusted net income grew 4 times year-over-year to reach R$435 million, the highest bottom line figure in our history. Our second priority was to generate cash. Adjusted net cash increased by R$1.8 billion year-over-year and R$530 million quarter-over-quarter, reaching R$4.9 billion. Part of this excess cash was allocated in the repurchase program as approved by the Board in September 2023 and totaled R$300 million. In our third priority, to expand financial services business, MSMB TPV continued to grow consistently at a strong pace, increasing 20% year-over-year and more than twice the industry rate. Combined with this, we have also presented a healthy client base increase and an improvement in monetization. Our MSMB client base increased 42% year-over-year. We have a client net addition of 317,000 quarter-over-quarter, reaching almost 3.3 million merchants using our payment solutions. And at the same time, our MSMB take rate increased 28 bps year-over-year to reach 2.49%. We have also evolved in our banking and credit solutions. Banking active clients increased to 1.9 million with R$4.5 billion in deposits, demonstrating the successful strategy on the development of our platform and client engagement with our solutions. And lastly, we have expanded our credit portfolio, reaching R$113 million in this quarter and concluded the testing of many features in line with our expectations. In our fourth priority, to evolve our software business, we continue to improve our results, focusing on increasing efficiency as we promised. Software revenues reached R$388 million with adjusted EBITDA increasing significantly to R$79 million, reaching a margin of 20.5%. This bottom line evolution is a result of our continuous focus on improving operational leverage and integration plans with StoneCo. Lastly, we have recently taken important steps towards building our fit-for-purpose organization. In October, we announced our new management structure to better align the Company around specific go-to-market strategies per client segment and to accelerate the integration of our software and financial solutions. We will further detail our strategic priorities in our Investor Day on November 15th, providing a better understanding on how the new organizational design will support us in executing our strategy. Before passing it over to Lia, I would like to say that I'm looking forward to meet investors in our Investor Day in a few days from now. I believe it will be a great opportunity for us to share our views on the business and our long-term plans. Now, I'd like to pass it over to Lia to discuss our third quarter 2023 performance and strategic updates.
Lia Matos: Thank you, Pedro, and good evening, everyone. As Pedro mentioned, we had an important evolution over the last years in terms of balancing growth and profitability, which you can see on slide 5. We increased consolidated revenues by 25% while improving our adjusted net margin by around 10 percentage points in a one-year period. As Mateus will detail further, this amazing margin improvement was a result of operational leverage across all main P&L lines. Moving to highlights of our Financial Services segment on page 6. In the third quarter of '23, revenue in this segment increased to R$2.7 billion, a 29% year-over-year growth, mainly driven by our consistent performance in the MSMB segment with above-industry MSMB TPV growth and higher take rates. This, coupled with operational leverage in costs and expenses, led to a 3.6 times increase in the segment’s adjusted EBT to reach R$485 million with a 17.7% EBT margin, an increase of 2.1 percentage points sequentially. Moving to slide 7, we will deep dive on our MSMB performance. MSMB payments client base increased 42% year-over-year to reach 3.3 million active clients. Sequentially, this represented a net addition of 317,000 clients driven by our continued investments in performance marketing combined with better levels of churn. Also, through strategic optimization of our Ton and Stone offerings across our sales channels, we continue to see positive trends in our client base across all tiers within the MSMB segment. We believe this approach is unique and has led us to profitable TPV growth, as I will show on the next page. On slide 8, we show that MSNB TPV increased 20% year-over-year, a growth twice above the industry, demonstrating our continued ability to win new clients due to our competitive advantages around distribution, service and our combined financial services offerings. This TPV performance was above our guidance of between R$87 billion and R$88 billion. Also, we were able to produce that growth while increasing our take rates by 28 basis points year-over-year and 1 basis-point sequentially to 2.49%. The yearly take rate improvement was a result of our continued financial services offerings expansion, strong pricing execution and client mix. Now, on slide 9, I will briefly update you on our Key accounts performance. Key accounts TPV decreased 22.8% year-over-year and was stable sequentially to reach R$14.4 billion as we have continued to deprioritize and offboard low margin clients. Year-over-year, key accounts take rate increased 18 basis points as a result of the adjustment in our commercial policy and a mix shift within the segment. Now, let's shift to our banking performance on slide 10. Banking active client base increased 3.4 times year-over-year to 1.9 million active clients. This evolution was a result of the launch of Super Conta Ton in the first quarter of '23 and the continued activation of banking combined with acquiring solutions for Stone clients. The growth in banking active clients combined with an increase in engagement, led deposits to reach R$4.5 billion in the quarter, a 51% year-over-year growth, which outpaced our MSMB TPV growth by 30 percentage points. Since TPV is the main source of cash and volumes to our banking solution, this relative performance is a strong illustration of our continued ability to improve engagement as we launch new features and offerings. In our upcoming Investor Day, we will give more color on how we are evolving our value proposition around our combined solutions for MSMBs. On slide 11, let me give a brief update on our credit offering. Until September, we reached the portfolio of R$113 million, a 6.1 times quarter-over-quarter increase. The performance of our vintages is above our expectations, with NPL 15 to 90 days of 0.4% and NPL over 90 days of virtually zero. I would like to note that this is a recently launched portfolio, so the ratio of past due loans should increase as our portfolio matures. We will gradually accelerate disbursements by extending the credit offering to a larger number of clients without changing our diligence towards risk assessment and close monitoring of market conditions. Lastly, this quarter, we have concluded the main improvements in our product features as we have finalized rebuilding our renegotiation process. Now on slide 12, we will discuss our Software segment. Software revenue increased 6% year-over-year to R$388 million, driven by the continued organic active store expansion in our core POS and ERP business, especially in the SMB segment. Software revenue growth decelerated compared to the previous quarters because of weaker performance of sour transactional revenues within our digital business, combined with lower average inflation, which affects price adjustments, especially in enterprise accounts contracts. Software segment adjusted EBITDA increased 50% year-over-year to reach R$79.4 million with a margin of 20.5%, an increase of 3.1 percentage points compared to the second quarter of '23. This strong figure was a result of higher revenue in the period and lower administrative expenses, especially as a result of more normalized levels of personnel expenses after a reduction in headcount in the second quarter of '23. On the strategic front, we have prioritized four verticals to focus to drive financial services and software bundles. During our Investor Day, we intend to share additional details about how we see this opportunity ahead. Now, I want to pass it over to Mateus for him to discuss some of our key financial metrics. Mateus? 
Mateus Scherer: Thank you, Lia, and good evening, everyone. I would like to begin on slide 13, where we discuss the quarter-on-quarter evolution of our costs and expenses on an adjusted basis. Cost of services reached R$773 million increasing 15.2% year-on-year and decreasing 220 basis points as a percentage of revenues due to operating leverage gains. Quarter-on-quarter, cost of services increased 12.9% and a 140 basis points as a percentage of revenues. The sequential increase in cost of services is explained by higher provision for losses and increased investments in technology and logistics as we continue to expand our business and client base. Administrative expenses decreased 3.3% year-on-year and 9.5% sequentially, leading to a 130 basis points reduction as a percentage of revenues when compared to second quarter '23. This improvement can be attributed to more normalized levels of personnel expenses in our Software segment following a reduction in headcount in second quarter '23, combined with higher than usual provisions for variable compensation last quarter. I'm very happy to see that we are starting to collect the benefits of the initiatives we implemented more than a year ago around zero-based budgeting and integration of back office functions in our Software segment. Increasing efficiency in administrative expenses will continue to be a priority going forward, and we'll give additional details around that in the Investor Day. Selling expenses increased 7.5% quarter-on-quarter and 20 basis points as a percentage of revenues due to higher investments in our distribution channels, mainly with partner commissions combined with increased investments in performance marketing. Financial expenses decreased 1.4% quarter-on-quarter with a reduction of 260 basis points as a percentage of revenues, reaching 33.3%. This evolution was driven by lower interest rates in the period, coupled with our decision to reinvest our cash generation towards funding our operation and was slightly offset by quarterly TPV growth. Lastly, other expenses increased 11.8% sequentially and 20 basis points as a percentage of revenue as a result of normalized levels of share-based compensation expenses as in second quarter '23, we incurred in a nonrecurring positive net effect of R$19.6 million. Moving to slide 14, our adjusted net cash increased by R$1.8 billion year-on-year and R$530 million in the quarter, reaching R$4.9 billion. This strong sequential increase is a result of our strong cash flow from operations as well as a sequential decrease in CapEx, as expected. As Pedro mentioned, given our strong cash flow generation and our long-term perspectives for the business, In September, our Board approved a share repurchase program of R$300 million, which was already fully executed. With that said, operator, can you please open the call up to questions?
Operator: Okay. At this time, we are going to open it up for questions and answers. [Operator Instructions] Our first question comes from Tito Labarta from Goldman Sachs.
Tito Labarta: A couple questions, I guess, to start. Maybe good growth, on the TPV continuing to take market share there, it seems. Maybe can you give some color on, do you think you'll be able to continue to take share, particularly between the micro-merchant segments and SMB? Are you gaining more share? I imagine maybe a micro-merchant since it's smaller for you, but just, the different dynamics between the micro and the SMB. And also with the take rates beginning to stabilize there, how do you see the take rates evolving from here, particularly as rates start to come down? And then, if you can just give an update on sort of the regulatory environment, particularly talks of changes to interest free installments. There's also recently some news about not being able to potentially monetize PIX. Any thoughts you have on that given the ongoing discussions there? Thank you.
Lia Matos: I'm going to take the first part and then pass it on to Pedro. So, a few thoughts regarding TPV growth, both ours and the industry. So, ABAC just released numbers for market growth this quarter, 9% growth in the quarter, and they continue to guide the year between 9% and 11%. So, this implies that TPV growth will be slightly higher in the market for the fourth quarter. Looking ahead, we expect industry growth to be slightly higher next year because we do see a recovery in credit card limits after delinquency reached the peak. And regarding your mention on PIX, more and more we see PIX P2M, volumes as parts of the market, right, that's a volume that it is a payment method, which we enable our clients to accept, and it is a driver of TPV growth. If you consider our 20% TPV growth this quarter and you include in that number PIX P2M volumes, that growth would have been higher around 24%. So, we see this as a healthy level of growth. And I think regarding overall trends, Tito, we continue to gain share within the MSMB segment. We continue to allocate capital towards growth in both micro and SMB segments. And we do see positive trends in all client tiers. And we think this has to do with the elements of differentiation that we provide clients around the offers that we provide them, the service, the distribution model. So, it's really about a combination. And the overall message is we continue to gain share across the MSMB segment. Pedro, you want to take on the regulatory?
Pedro Zinner: Yes. Hi, Tito. Well, thank you all for taking the call. I think there has been a lot of debate around the interest rate caps on revolving loans, delinquency rates and interest free installments. And I think I'll just extend a bit myself and try to highlight a few messages around the topic. So first, we believe that the imposing limitations on interest fee installments violates the principle of free competition. Any issuer as of today is already capable of deciding to limit, restrict, or increase the offering of installments, and that's really an economic decision. Just to give you an example, we've seen a few Black Friday offers this week where large issuers have substantially increased the maximum number of installments to differentiate their own offers. Second, contrary to what has been said, there is strong empirical evidence that there is no relationship between the number of installments and delinquency levels. And just to give an example, according to a study that has been sponsored by [indiscernible], using, frontier empirical methods and over a million observation of consumer purchase behavior, if any, the relationship between installment free transactions and delinquency rates is actually negative. Therefore, again, I think this reinforces our view that there shouldn't be any regulatory [Technical Difficulty] free installments. Just a few more points because I think it's important for ourselves to position. And I think, third, a regulatory change that takes away from merchants, the possibility of offering installment transactions in Brazil would significantly impact private consumption and consequently the overall economy. So, I think this -- just to provide some data and according to the Central Bank, credit card transactions represented about 20% of the Country's GDP in 2022. Of the total, about half was executed in interest free installments just showing the relevance of this payment method to the country. So, I think for these reasons, I think it's quite clear why we continue to hold our position that there shouldn't be any restriction on interest rate free transactions.
Mateus Scherer: Pedro, if I may only add, I think Tito also asked about the prohibition of charges in any kind of PIX transactions. On that discussion, there were indeed some rumors about this discussion, but our understanding is that this debate didn't advance. And we think it's unlikely that any regulation will prohibit charges on PIX as a whole.
Lia Matos: Perfect. And, Tito, there was also -- you also asked about take rates, and I left that out of the answer. So regarding take rates, we didn't change our pricing policy this quarter, and we do not intend to change it anytime soon. Competitive dynamics remains the same. If anything, we see, more rational behavior in the market as a whole. When we look at take rate trends this quarter, we had a sequential improvement, which was small, 1 basis points, which was driven by roughly stable prices, a small positive impact from mix, which was slightly offset by a higher debit mix. So, regarding prices, we're not changing our strategy at all. We don't intend to do so.
Tito Labarta: Lia, maybe just one quick follow-up on that. Do you think the mix can continue to benefit the take rate from here, if you're growing more, say, micro than an SMB?
Lia Matos: Yes. I think that -- that is correct, Tito.
Tito Labarta: Okay. Great. Thank you.
Lia Matos: We're going to give more color on these trends on the Investor Day, so we intend to provide a little bit more of a long-term perspective on take rate's evolution.
Operator: Our next question is from Mario Pierry from Bank of America.
Mario Pierry: Congratulations on the quarter. It looks quite good. Let me ask you two questions also. On software, we saw a slowdown in revenue generation, like revenues growing 6% from 9%. But on the other hand, EBITDA is up 50%. You talked about some headcount reductions. Can you specify the size of these reductions? Do you expect to make more -- or have we already seen the full benefit of this cost reduction? And then on the credit side, as you talked about, right, you increase disbursements or you made disbursements of about a R$100 million, I'm calculating here about R$33,000 per client. Can you give us a little bit more of a perspective? What type of clients are you targeting, specific regions, specific characteristics? What is the interest rates that you're charging on these loans as well? And how big do you think this portfolio can get to within a year? Thank you.
Lia Matos: Thank you, Mario, for the question. I'm going to take the first part on top line trends in software and then pass it over to Mateus to elaborate on margin evolution and credit. So, regarding top line growth, if we sort of double click on the drivers of software revenue evolution. First, we really are focusing on allocating capital to grow where we see the biggest opportunity, which is in the verticals that we have prioritized and within the MSMB segments. There, we're happy with the level of growth that we are seeing, and we remain optimistic with the opportunities that we have ahead. We will give more color on this in the Investor Day. The biggest detractors to growth in software are the transactional revenues in our digital business and the enterprise business itself. Let's remember that in the enterprise business specifically, we already have a very high market penetration. And our focus there is a lot more towards, driving efficiency and cash generation. And I want to also highlight that, yes, we do monitor top-line growth, and it is important for us. And we are allocating capital to grow where we see opportunity. But there is also a disproportional value to be captured in installed base of software clients. So, more and more, we are driving our execution towards providing software and financial services bundles and really capturing the financial services opportunities that exist within the software clients that we already have. And there is a very attractive opportunity in the priority verticals that we will have a chance to talk more about in the Investor Day within the MSMB segment, which is our focus. So that's a little bit on trends on top-line. Maybe Mateus can elaborate more on the efficiency side.
Pedro Zinner: Yes. For sure. So regarding the margin evolution on software, you are correct. I think most of the evolution quarter-on-quarter came from more normalized levels of personal expenses in the Software segment. And I think this is related to something that we disclosed last quarter, which was basically reduction in headcount that had a negative impact on the second quarter of 6.5 million in severance costs. And now we are basically collecting the benefits, from this reduction. Now, when we look ahead, I think it's important to highlight that we still see additional room for improvements in software margins overall. It's not necessarily a 100% related to personnel expenses. But I think in general, we see more benefits to come from the integration between the two platforms. I think the second question regarding credits. So, you're also right. We scaled the portfolio from 19 million in the second quarter to a 113 million this quarter. In terms of who we're focusing at this time, I think the offering is mostly focused on our SMB segment. So, when we look at that volume of around R$30,000 per operation. We're basically talking, about around 1 month of the client's TPV. So it's still a very conservative approach. But regarding the evolution in terms of sizing of the portfolio and the rates that we're charging, I think the idea is to provide more color on the overall performance and strategy of the credit business on the Investor Day. So, I think we have to wait a little bit to give more details on that.
Operator: Our next question is from Geoffrey Elliott.
Geoffrey Elliott: In terms of the debit share increasing, what was behind that? Is that seasonality? Is that an industry trend? Is that specific to you? And is that something that continues -- I know you have more debit in the fourth quarter, but looking further ahead, I'm just curious why debit, was higher this time?
Lia Matos: So, this is a market trend. It hasn't to do with us specifically. We believe that this -- from what we have seen in terms of other players releasing their results. This has been a trend in the market. Our hypothesis for this is credit delinquency is still limiting credit limits on credit cards. We think that this trend will improve going forward.
Geoffrey Elliott: And then, if I could squeeze it in on the buyback, you did the R$300 million very quickly. Do you kind of see that as the beginning of a process? Should we be looking out for more of these going forward?
Pedro Zinner: Yes. So good question. Maybe taking a step back to give you some context on how we think about the topic. So, when I look at the third quarter results, we can see that the Company is generating strong cash flows. We generated R$530 million net cash in this quarter, even after increasing the credit portfolio and also even after investing for future growth. And as our business evolves, we do expect our profitability to continue to increase, and this should drive even more cash generation. So, I think the decision of how we're going to allocate this cash is becoming increasingly important for us. And if you look at the past few quarters, our decision was basically to reinvest most of this cash generation towards strengthening our capital structure. And when we look ahead, we still see a lot of room to reinvest in the business in general. So, even when we expand the credit business or the banking solutions, there's still room to move money towards debt. But whenever we feel there's a good opportunity to allocate excess cash, for example, towards repurchases, we're certainly going to evaluate this option. And, again, I think this is a common trend in the call, but we're going to share more details about our philosophy for capital location in the Investor Day, but it is an option that we are constantly evaluating here.
Operator: Our next question is from Gabriel Gusan from Citi.
Gabriel Gusan: Hey, guys. Good evening. I hope the answer to my question is not that you talk about it in the Investor Day next week. But, can you please share, if you have plans to go full banking in your release and in our discussions? It seems that having this service become bigger and bigger to our client base makes sense at this point? You probably have above 2 million clients in the micro-merchant segment? So, going for banking wise and all makes sense.
Pedro Zinner: Yes. So I think in terms of the banking license, we are in the process to obtain this license. We don't control the full road map, but I think we are in the last stages of the regulatory approval, and we should have access to the license soon. Now, when I think about what does that license allow us to do, I think it's mostly using the deposits that we have as another funding lever. In terms of the products, we're going to discuss a lot in the Investor Day the road map and how we're thinking about the banking product evolution. There's certainly a lot of potential there. But I think the license itself is not a restriction in our road map. It's more about enabling us to use the deposits going forward.
Operator: Next question from Neha Agarwala from HSBC.
Neha Agarwala: Hi. Congratulations on the results, and thank you for taking my questions. My first question is on CapEx. You saw a nice decline quarter-on-quarter in your CapEx. Despite strong jump in your net adds, could you give us some color as to how can you break down the net adds between SMB and long tail? And, is the CapEx trend that we saw in this quarter, should that be maintained? Should they continued without trend or this level, is what to expect in the coming quarters? And my second question is on Linx. Could you give us a sense of, what percentage of the Linx clients, Linx merchants are now using Stone acquiring? How, are you trying to cross-sell bundles to some of the large clients which came from Linx? So, some granularity on that would be helpful. Thank you so much.
Mateus Scherer: Thank you, Neha. I'll take the first question regarding CapEx, and then maybe Lia can give some color regarding Linx.
Lia Matos: And net adds, I think there was a question on net adds. I'll take it too.
Mateus Scherer: So talking about CapEx first, few things to highlight here. So, usually, there are differences between the cash outflow and the activation of PP&E. As for example, we can purchase PP&E and pay it later as a result of negotiations with suppliers or maybe pay down purchases of PP&E related to previous periods. We give a lot of data about the dynamics in the financial statements, the footnote 18.5. So, when we look at this quarter, we added 232 million of PP&E and intangibles, but the actual cash outflow was a 176 million. As part of the additions that we did this quarter will be effectively paid in a future period. So that's part of the explanation. But in any case, when you take a longer term perspective, [Technical Difficulty] comes off CapEx management. So just to give you a little bit more color on that, when you look at CapEx as a percentage of revenues, for example, it has been trending downwards from 7.9% in the 9 months of 2022 to 5.7% in the 9 months of 2023. and I think that has a lot to do with the efficiencies that we have been seeking in our logistics operation. Again, not to spoiler too much, but it's another topic that we're going to give additional details in Investor Day next week. Maybe, Lia?
Lia Matos: Yes. On Neha, on net adds, and then I'll talk a little bit about software. I believe your question was around cross selling bundles. In net adds, so what we can say is the following. Year-to-date, we have consistently invested in selling both in our hubs and distribution channels that are focused on SMBs, but also performance marketing to drive growth in micro clients. While our investments in selling expenses in the hubs, they have a more stable evolution, performance marketing capital allocation can be more volatile quarter-over-quarter. But the message here is those investments have been yielding great returns, and they have enabled us to continue to invest and to continue to grow. But we also want to highlight that net additions in itself is not a target per se. We do allocate towards growth in TPV and gaining share across the MSMB segment as a whole, and most importantly, with discipline on pricing execution and healthy levels of return, so that this TPV growth can also drive profitable growth. So, I think that's the message regarding -- on net adds trends. When we talk about software, and we will give more color on this, but let me qualify a little bit. When you look at the TPV pool, so as a proxy of the financial opportunity that exists within software client base, around 60-40 is between MSMB versus enterprise or key accounts. So, there is a significant opportunity in terms of not only payments, but also banking and eventually credits on some verticals that we have prioritized our execution towards. Today our penetration of financial services within these verticals is still small. We're at the beginning of that journey. But we're seeing, extremely positive results in terms of number one, our ability to offer better value proposition by combining software and financial services. I think the big example here is gas stations where we have started very recently a big effort across the company, across all of our channels around offering, embedded software and payments and banking solutions to gas station clients, which is a relevant vertical within Linx, but there are other verticals that we will deploy this execution as well. And when we look at clients that are actually using those solutions, not only is that a lever of growth, because we bring in more TPV and more deposits from banking, but it's also a strong monetization lever, because when we look at the unit economics of these clients, it is significantly better than the unit economics of clients that use only financial services. So, the message is, we are excited. We're at the beginning of the journey. We really feel that now we have the right organizational elements in place to continue to advance on this, but it's it is very early days. We will give more color in this both on where we are and what our sort of our long-term perspectives on this, next Wednesday.
Operator: Our next question is from Carlos Gomez-Lopez from HSBC. Your microphone is open.
Lia Matos: Maybe we can move on to the next. And if Carlos wants to go back to the line, he can.
Operator: Okay. Our next question is from Sheriq Sumar from Evercore ISI.
Sheriq Sumar: I just wanted to ask about the about the financial expense in this. How should we think about for the fourth quarter? I mean, depending on -- like, given the fact that Brazil's inflation rate has come down, how should we think about the mix of using cash versus third-party deposits? And also some of the other levers within the overall expenses to drive margins higher. I mean, I know you talked about lowering some headcount within the software business. But what are the other measures that we could think about in brief for the fourth quarter and in 2024 that you would take?
Pedro Zinner: So maybe starting talking about financial expense. I think we've mentioned this in the past, but, we think over the medium term, our financial expense should be driven by three factors, basically. First one being the interest rates in the country, second one being the overall cash generation, and the third one being TPV growth. I think when we look at the evolution this quarter, the slight decrease that we had in financial expenses was basically a function of these three factors. So, in the third quarter, we saw CDI rates in Brazil reducing from 13.65% to 13.27% on average. Secondly, we basically decided to reinvest our cash generation towards funding the operation. And third, I think these two factors were slightly offset by the quarterly TPV growth. When we look forward, I think the perspective is to have some reduction in terms of the CDI rate. So, we're going to have that tailing going forward. And the business, I think, like we mentioned, the earlier question continues to generate a lot of cash, so this should also contribute to the overall trends. I think the second question regarding overall costs and expenses, leverage for the Company. Something that we mentioned in the call, it's the general trends in terms of administrative expenses. I think it's something that we also highlighted a few quarters ago, but if you look at a long-term trend for this line, after the first quarter '22, we started implementing a lot of measures in the Company in terms of zero-based budgeting, implementation of shared services center, and also advancing the software integration. And I think this has led this line to decline in a nominal basis since the beginning of the year, declining from R$296 million first quarter last year to around R$240 million this quarter. And we still see room to improve this line as a percentage revenue going forward. I think the idea is to keep these expenses at control while we scale the business. But another very important trend when we look at cost to serve, I think we gain more than two percentage points in terms of margins in a yearly basis when we look at that line. And when we deep dive in this line, we're really seeing gains across all the main lines of the business, be it logistics, customer service, or losses, for example. I think the only different trends that we are starting to see and that it's important to highlight is that as we expand our credit book, we're booking the provision for losses upfront due to IFRS 9. So, in this quarter alone, as we expanded the book from 19 million in the third quarter to a 113 million in this quarter, we're provisioning at 20% because we don't have enough data in our models to provision more aggressively. So, when you look at this effect alone, it impacted negatively our cost to serve by R$18 million, which is around 50 basis points as a percentage of revenue. So I think overall, when we look forward, the idea is to continue to gain efficiency in all the main lines, but we have to bear in mind that we're going to have this effect from credits as we scale this business.
Sheriq Sumar: I just wanted to double click on the previous question on the -- on the MSMB. Is there any particular vertical that you saw, any particular strength, or is it like prior to the holidays coming in, you had more people sign up for that. And what is the early read for fourth quarter? Like, are you seeing the same level of activity, or has it kind of slowed down?
Lia Matos: Sheriq, you were dropping up a little bit. So if I didn't understand your question, please repeat it. I believe it was about net adds, correct?
Sheriq Sumar: That's right. I'm sorry about the background noise.
Lia Matos: No, no. That's okay. So, I talked a little bit in a prior question that we had made, I believe around, net adds evolution. So, our main sort of objective function here is to continue to grow and gain share in a profitable way. So it is true that net adds may, fluctuate from quarter-to-quarter, but that's going to be our driver. As long as we can continue to see opportunities to allocate investment in growth in a profitable way, we'll continue to do so. So, I think this is, more or less we can say in terms of color around net adds evolution. The metric that we like to track really closely is the evolution of our TPV and market share and that this TPV comes in at healthy level, providing the healthy levels of return.
Operator: Next question from Yuri Fernandes from JP Morgan.
Yuri Fernandes: I would like to ask on taxes here. It was lower this quarter, you mentioned more revenues coming from entities abroad among other things. What are those results coming from abroad? I'm asking this because we see some peers booking, having some FIDCs [ph] abroad. So just would like to check if that's the case for you also. And on taxes, what should we think about this line? Should we remain low? What is your view here? Thank you.
Pedro Zinner: So regarding taxes, we mentioned in the past that we see our normalized tax rate has been between 20% to 25%. But over the past few quarters, we were operating closer to 27%. So I think what happened in the third quarter is that we basically reverted back to what we see as the normalized trend for the business. What's also worth mentioning here is that in this quarter, we had a one-off effect also in taxes related to the recognization of deferred tax assets in the amount of 23.5 million as we reverted losses in some subsidiaries that had accumulated tax credits related to losses during previous periods. I think the footnote 7.1 and 7.3 of the financial statements bring more detail on this topic. So, the first part of the question, we basically see when we look ahead, the effective tax rate continue to be within the 20% to 25% level. As for the second part of the question, we do have a part of our FIDCs, [ph] offshore as we are a Cayman entity, and this, indeed, contributes to a bit of our tax rates. But when we look at the general trend, I think our tax rate is not, unusual when we compare to all the benchmarks.
Yuri Fernandes: Can you share how much is FIDCs [ph] abroad and how much are local based?
Mateus Scherer: I think we do have this disclosure in footnote, 7.1 until 7.3. But, basically, when you show the profits on offshore entities, it's all related to FIDCs. [Ph]
Operator: Next question from John Coffey from Barclays.
John Coffey: So, I saw one thing, one new disclosure you had in your press release was PIX TPV R$5.5 billion, which is quite a bit of your overall TPV, about 5% or a little bit more. I was wondering, if -- and if you could just sort of provide some general comments about where you're seeing those PIX volumes, any kind of verticals or kinds of merchants? And furthermore, could the PIX volumes be one contributor to the higher take rate? Because as I understand it, you don't include PIX TPV in your overall TPV numbers, but you do include the revenues that do come from PIX?
Lia Matos: Hi, John. So yes. Giving a little bit more color on PIX, more and more, we believe it is important to provide visibility to the impact of PIX because it is becoming more and more significant. So I think, big message is on where it's relevant. So PIX P2M is more relevant in the SMB space. Why is that so? Because, PIX P2M is essentially a payment method that our clients need to reconcile just as any other payment method. So, the capture method that we offer in PIX P2M is a dynamic QR code that the transaction can be reconciled in the dashboard. So, that for larger SMBs, more sophisticated clients that have multiple SKUs that's important. And, that's a monetization driver for us, like you mentioned. You are correct that because we don't consider PIX P2M TPV in the overall TPV, that this does have a slightly accretive impact on take rates. So we see PIX as an important driver of overall market growth going forward. The way that we look at it is overall household consumption and mix by payment method. And we do see PIX P2M taking away not only from cash, but from growth in debit volumes itself. For us, this is sort of net neutral because we monetize PIX P2M in line with debit net MDRs, but for our clients, it's much better. Because for our clients, they get money settled instantaneously and they do not pay interchange. We think there is evolution to happen around the UX and the user experience, it's not fantastic yet because for example, PIX NFC doesn't exist. But, as product, usage and functionality evolves and the central bank is likely pointing that roadmap forward in the next years, PIX will become more and more relevant. And for us, we've said this many times before, more and more we see PIX as an opportunity and a way in which we can leverage the PIX rails to develop new products, new offerings to our clients. So to us, the message is that we see this as a positive trend. 
John Coffey: I just wanted one follow-up. Just on take rates in general. As we look out next quarter and the quarters ahead, could you help contextualize the effects of -- competitive effects, which could pressure take rates, the move you're having down to smaller merchants which could push them up as well as just the seasonality, which I think generally in Q4, debit is bigger in Brazil? Just kind of try to like evaluate the pressures going up and down on your take rates going forward.
Lia Matos: Sure, John. So I think, aside from sort of short-term fluctuation in debit versus credit that has seasonality effects like you mentioned, fourth quarter, we always expect debit mix to be higher. Aside from that, I think the overall trends that we can point to -- and sorry to give -- continue to give these spoilers, but we will provide a little bit more color on this in the Investor Day. Is that -- we continue to execute our pricing strategy as we have said. We will not change our approach to pricing discipline. We do not have that in our plans. More and more new monetization drivers come into the picture, not only PIX but overall banking. And the more that we evolve on our banking solution, the more we have levers to monetize the relationship with our clients. So, we do see that as a positive trend in overall take rates going forward. I don't think we're going to see too many changes in terms of mix shifts, to be honest. Because I think that the pace of growth is more or less -- if you look at longer time horizons, it's more or less stable across tiers. So I think that the trends that we can think of are pricing, execution and more and more monetization drivers from banking, other solutions.
Operator: Our next question is from Josh Siegler from Cantor Fitzgerald.
Josh Siegler: First question, I was just wondering as we head into 4Q, how should we be thinking about the seasonality aspects, and are there any abnormalities to this quarter as compared to previous years?
Pedro Zinner: So no big news, I think, as usual, fourth quarter tends to have a better TPV performance, because of the Christmas and Black Friday. So nothing new on that regard.
Josh Siegler: And then from a strategy perspective, I was wondering if you could elaborate a little bit on how you're thinking about a potential rollout of credit cards, especially given, the increase in credit delinquencies that you're seeing across the macro right now?
Lia Matos: I think, the message around the speed of rollout is the same as we have said regarding credit. We're being conservative in terms of the speed at which we scale. We remain attentive to the macro environment. So I think no different message as to our overall strategy in credits. We will take our time to scale at the speed that our risk appetite allows us to and we will remain observant of the macro environment.
Operator: Next question from Jamie Friedman from SIG.
Jamie Friedman: Good evening, and congratulations on the strong results. Good progress here. I just wanted to ask, well, the first one is, philosophically, how are you thinking about guidance? There's been years in the evolution where you guide. There are some that you don't. So we're just wondering where your mind is now about your approach to guidance?
Mateus Scherer: Yes. For sure, Jamie. So we mentioned this in the previous call. Up until the last quarter, we were following the policy of giving quarterly guidance. And we're no longer providing this kind of guidance. But starting on the Investor Day, the idea is to give guidance on a few metrics on a longer term perspective. So, we're going to share figures for 2024, but also provide a perspective on 2027 for the business, so that you can have a longer term outlook for the business as a whole.
Jamie Friedman: And then, if I could just have one follow-up. With regard to the PIX, can you see if those are the, like prepaid PIX, or are you seeing volumes for PIX parcelado as well at this point? Any color on that would be helpful.
Lia Matos: No. We do not see, any relevance from PIX parcelado at this point. We do know that some players are putting a lot of investments around, PIX parcelado. But for us, it's a payment method that it's mostly taking away from, like I said, cash and the growth of debit.
Operator: Our next question is from Kaio Da Prato from UBS.
Kaio Da Prato: I have two questions here quickly please. Looking to your stake rates and breaking it down, looks like the increase came mainly from financial revenue. So just would like to understand what were the moving parts here if you increased the penetration of prepayment during the third quarter for any specific segment if there was any change in prices? Because you mentioned, in your press release the effect of adjustments in commercial policy, so just would like to double click here. Or if this is only related, to the mix shift, and I mean, on a Q-on-Q perspective as year-over-year, it's clear the effects of prices. And moreover, if I may, looking to the net take rates of your financial revenues, net of banking deposit effects, and financial expenses, it actually expanded a lot, also Q-on-Q, suggesting that you also used more of your own cash to fund the prepayment business. So I know that you talked a bit about that in one of the questions before, but just would like to confirm if that indeed happened, why did you decide to use it, and what should we expect going forward as well? Thank you.
Mateus Scherer: So maybe starting from the last question. Indeed, our net take rates, when we look net of financial expenses increased a lot on a q-on-q. But I think it's less related to the decision of using more of our cash towards funding and more related to the fact that interest rates started to decline in Brazil in general, and we're not passing that through to clients. So, it's more about disciplining pricing and less about capital structure movements. Now, the second part to the question, we did not make any big changes in our pricing policy in the quarter. So, when you look at the take rate evolution quarter-on-quarter, it's mostly about mix shift, a little bit towards micro. And, also, this was slightly offset by debit mix, like Lia mentioned. But I think what's worth mentioning is that when we think about pricing, we price for our clients as a whole and not by revenue line or revenue stream. So from time to time, we can see some rebalance in terms of how much we monetize in each lever, be it financial income or transactional revenues, for example. So, I wouldn't read too much into those kinds of changes. I would track the take rates in general as a whole.
Operator: Next question from Nicolas Riva from Bank of America.
Nicolas Riva: Thanks very much for the chance to ask questions. So, you reported once again a net cash position to about R$3.7 billion in cash. You used some of the liquidity to repurchase R$300 million of your shares in November. You're also starting slowly to grow your credit or loan book. My question is why not use some of these liquidity to buy back some of your 2020 bonds at R$0.80? Thanks. 
Mateus Scherer: So great question. Indeed, in our view, when you look at our bonds, they are trading at levels that don't reflect the Company's credit worthiness, honestly. And therefore, buying back bonds is indeed a plausible option to allocate capital that we constantly evaluate. However, when you think about capital allocation, we think capital allocation is about choices. So, in our view, given the current environment and the current prices, buying back shares offers greater return to shareholders when compared to buying back the bonds. So, that's why we're focused on that option right now.
Operator: There are no questions at this time. This concludes the question-and-answer session. I will now turn over to Pedro Zinner, CEO at StoneCo for final considerations.
Pedro Zinner: Well, thank you very much to all of you for participating on the call. And I hope to see you all in our Investor Day meeting next Wednesday. Thank you very much.